Operator: Welcome to DSM's Conference Call on the Full Year Results of 2014. Throughout today’s presentation all participants will be in a listen-only mode. After the presentation, there will be an opportunity to ask question. [Operator Instructions] Now I would like to turn the call over to Mr. Huizing. Please go ahead.
Dave Huizing: Ladies and gentlemen, good morning and welcome to this conference call on fourth quarter and full year 2014 results which we published earlier today. Sitting here with me are Mr. Feike Sijbesma, Chief Executive Officer and Chairman of the DSM Managing Board, Mr. Geraldine Matchett, Chief Financial Officer and Member of the DSM Managing Board, and Mr. Jos Op Heij, Senior Vice President, Corporate Control and Accounting. They will elaborate on the announcement and after that answer your questions. This call will last 60 minutes. As a reminder, I am obliged to day say that today's presentation may contain forward-looking statements. In that regard, I would like to direct you to the disclaimers about forward-looking statements, as published in the press release. With that, I hand over the call to Ms. Matchett.
Geraldine Matchett: Thank you, Dave. Ladies and gentlemen, good morning and welcome to our presentation on the DSM Q4 and full year 2014 results. Before we start the Q&A session, I’d like to walk you through some of the key slides of our investor presentation which we published this morning with the press release and that you can find on our dsm.com Web site on our investor relations app. I will start on Slide 2, now this slide presents the financial highlights for Q4 and for the full year. As you know, 2014 has not been an easy year for DSM. We had tough market conditions in nutrition and caprolactam as well as some foreign exchange headwinds; however, despite that the company generated an organic growth of 3% including 5% for Q4. We generated relatively solid EBITDA of 1168 and a healthy operating cash flow of €808 million. Also highlighted on the slide is a non-cash impairment that we booked in Q4 for the caprolactam business of 186 million that is after tax and non-controlling interest resulting in a net loss for the quarter. This is the result of our usual impairment testing that we carryout and reflects current market conditions. Now finally on this slide we proposed a dividend of 2015 of €1.65 per ordinary share in line with last year but of course subject to approval at the AGM on the 30th of April. Now these were the main financial highlights and before I address the outlook for 2015, I would like to run you through some of the other slides in this presentation. If we move onto Slide 5 and I’ll give you a little moment to get there, this is a breakdown of our top line 9% growth for the quarter. As you can see, this growth was supported by strong volume progression of 7% and a favorable foreign exchange for the quarter while the price mix effect remained negative and this is particularly so for polymer intermediates. Now if we look at the nutrition cluster, we delivered 4% organic growth this is consistent of 3% volume progression and a positive 1% price mix overall improvement. However please note here that this organic growth came from a very strong quarter from the animal health business with an organic growth of 10% and a nutrition revenue decline of 3% that was nutrition. Now if you look at performance materials, we close the year with 3% organic growth for the quarter that was supported by good performance in all three businesses. Finally for polymer intermediates, we benefited as expected from good volume growth coming from the new second line China offset by an 11% pricing headwind. Now, if we take all these figures for Q4, this leads us to a full year growth of 4% of which 3% organic and you can see that on Slide 6. Now moving to Slide 7, looking at the EBITDA, we closed the quarter with 288 million pretty much in line with market expectation. In nutrition, we took some very strong actions to reduce inventories and improve our operation and cash flow at the expense to some extent to the EBITDA. In addition, our nutrition margin was brought down by a mix effect given the high growth in animal health sales as I just indicated earlier and in food specialties, we experienced some manufacturing issue. Now in contrast polymer performance materials had a strong quarter with an EBITDA up 13% reflecting very strong results in Dyneema as well as a positive impact from all the cost management programs that we have been running and that we have mentioned in the past. Now for the sake of time, I will skip Slides 9 to 16 as those are all tables with comments which hopefully are clear enough underneath. And I will draw you attention to Slide 17 where we talk about our pharma activity, if you could skip through to Slide 17. Now the reason I am drawing your attention to the slide is to remind you that our accounts are now being prepared in accordance with IFRS-11, which means that the non-controlling entity presented under the equity method and the figures for 2013 had been restated accordingly. So you can see here that we present our DSM Sinochem joint venture, the revenues progressed well, we reached euro nearly 400 million on a 100% basis which is a good progression compared to the 368 million in prior year. Also here we highlight a new DPx joint venture effective March 11th, it has a fourth quarter which beware the fourth quarter is from August to October, it posted strong revenues of 383 million with an EBITDA margin before exceptional of 21.5% confirming that we are well on track to create significant values with this partnership. From a cash flow performance perspective, key comments are provided on slide 18. You will see here that we closed the year with a working capital as a percentage of sales of 20.7%, which represents a 300 basis point improvement over the Q3 and also an improvement versus last year. This enables the Company to close the year with a positive free cash flow from operations 279 million. Okay these were the main financial highlights for 2014 and now I would like to finish with some closing comments on our outlook for the coming year as we have presented on Slide 26 at the end of the presentation. As you know, currencies have been very volatile recently. In this presentation, we provide some indication of our exposures to the U.S. dollar and the Swiss frac as well as the hedges that we put in place; however next to these we operate in many other currencies and they are always important secondary effect through sales and purchasing its therefore very difficult to specific guidance. Nonetheless, we estimate that should the current exchange rate persists the overall impact of currencies on our EBITDA 2013 should be roughly balanced and I carry out that statement as you know this is not an easy equation to put in place. Regarding vitamin E, we confirm here what we have said previously that we should -- that should current prices persists, we will see a negative impact on our EBITDA of around 80 million. And based on the above taking into consideration the macroeconomic assumptions that we described, DSM aims to deliver an EBITDA for 2016 slightly ahead of 2014. And with this, we’ll open the floor for questions.
Operator: Ladies and gentlemen, we’re going to start question-and-answer session now. [Operator Instructions] First question is Paul Walsh from Morgan Stanley. Please go ahead, Mr. Walsh.
Paul Walsh: Thanks very much. Morning, everybody, and thanks for taking my questions. Just two short ones, if I can. I wonder, Geraldine, if you could give some sense, is there any banding around what a slight increase in EBITDA means for the year ahead? That would be my first question. And secondly, just in nutrition, can you talk a little bit about the dynamics between the recovery in the animal business and the continued relative softness in the human nutrition segment and what we're looking at if that mix development continues for margins in nutrition in 2015, please? Thanks very much.
Geraldine Matchett: Slight increase of guidance these given all the volatility that we’re seeing in the world is always a bit of tricky exercise. We feel that there is some upside but of course there a lot of parameters to take into accounts, so I will not make is any more specific, but there is a bit of upside in our view.
Feike Sijbesma: And on the nutrition basis maybe it’s good to highlight a couple of things in Q4 we mentioned also Capital Market Day and few street, we of course how we’re dealing with different headwinds in nutrition would like highlight a couple of things. In animal health, we had said clearly in Q3 that we will hold firmly our market share, you know, all the price competition with vitamin E, et cetera, and that we even we’ll try to enlarge the share of valet from our sides. If you look to Q4, I think delivered on that promise with 10% volume growth and even a total price which was not bad was a little bit up even total again growth of 10% in animal health, so I think very good performance. I expect also in 2015 that animal will grow faster than human health. And animal health has a little bit lower margin than human health, so that will depress a little bit to total margin. There is not have to depress the EBITDA but we’ll best margin obviously because of higher growth. Vitamin E will have an impact. At Capital Markets Day it was 580, we mentioned there that an impact will be 60 million to 80 million, it dropped to 5, stabilized now, increased a little bit above 5 at Recent Feedinfo so it's not dropping further at this moment but we said that it can have an impact of 80 million of whole year. On the human health's indeed the headwind were stronger although we took some actions together with consortium in terms of promoting the multivitamins I see in Q4 and very recent data for the last week no further decline in the multivitamin little bit in omega 3 but multivitamin even slight update but I am very, very careful here not on the single data but I think things are not turning worst there but the growth of course is less than in the animal health basis. But also there we take the actions which we mentioned in Q3 Q4 if look a little bit to margins. We ended up in Q4 slightly below 18 or 17 point something if we look them to 2015 you get the full hit of Vitamin E you get a process to euro dollar you get a negative of the Swiss franc. For the total company maybe a watch like Geraldine was saying for nutrition may be slightly negative because a little bit more of the Swiss franc. So you have defined me as you have the situation around the currency then Animal health will grow a little faster than human health and in 2015 we would like to reduce operating working capital further which gives a little bit hit in the first quarter I think it would be around 10 million in results of nutrient first quarter was impacted down 10 million due to operating win capital you saw the good cash generation. So if I take them further important in consideration but operating work have animal health human health's and Vitamin Believe then I would say 17% to 18% margin for 2018 about 2015 is the right figure if you look where we ended up in Q4. So if you giving all the different elements but I want to give full transparency of all those animals.
Paul Walsh: No, that's very, very helpful. And in terms of the guidance for up year on year, slightly up year on year, is within that mix nutrition flat or slightly down, or indeed do you think you can offset the vitamin E issues with the growth profile in animal health and some of the other product lines?
Feike Sijbesma: Now we come into detailing of the results for the full year I want to be careful that this moment I said for the total company we said we aim at slightly at 2014 and indeed you know that the currencies for the total company has almost no effect vitamin E as a severe hit which we will see already in the first quarter total company will do hopefully a little bit better. And I would like to live it result and Q1 we worked on the difference between the different clusters.
Operator: Next question Mr. Andrew Stott with Bank of America Merrill Lynch. Please go ahead. 
Andrew Stott: Yes. Morning, all. Thanks for taking the questions. Number one was raw materials and energy costs. When you obviously communicate your slight growth this year in EBITDA, what are you thinking around the tailwinds from both sides of it? For example, I noted some of your key costs in nutrition have come down a lot in Q4 so I just wondered if you had a number you would share on that. Question number two, very specific. It looks like your D&A has gone up a lot in Q4 in nutrition. Is there a one-off in there? And finally, on your FX slide, and thank you for the detail on that, it's very useful, just a simple question really. If I look at the extent of the coverage you've got on hedging, I would have thought you end up with a positive from FX, i.e. you're not that covered on the euro/dollar so you've got a big tailwind there. You're very well covered on the Swissie. So what am I missing?
Feike Sijbesma: In for '14 or '15. The oil price effect different question oil price is dropping in the last part of 2014 have not much impact in to '14 and I think it will have a limited impact for the total company. The reason is to following nutrition we buy a little bit old drive products which we buy also agriculture products and other stuff. So that’s a limited impact in materials it can happen impact although we don’t buy oil but we buy derivative of oils as chemical feed stock. But normally those prices will be translated towards the end product both have been down as it did in the past. So here might be see some time delays but I do not expect for the whole year that's a the cost price and selling price margin that also is a strong impact in our materials this is either in terms of energy cost and in terms of transportation cost will see a slight plus and the oil price will help us there and but as we see so far it is limited. So we will have some tailwind of the oil price if it remains at this level. But not too much as I just explained on the FX, Geraldine?
Geraldine Matchett: Yes I mean on the FX it really depends how we going to see the exchange rates evolving I mean you’re right our net exposure of U.S. -- on the Swiss franc is about 850 million but the impact depending on which exchange rate you’re calculating is obviously a bit different in terms of proportion so when the sensitivity that we gave of $0.01 include 5-6 million now if it’s around parity that impact gets higher to 7-8 million so there we really need to see where the Swiss franc is going to go and it’s little bit everybody’s guess at this point the U.S. dollar we already saw broadly what happened during 2014 as you know the first three quarters it was a negative than in Q4 you saw the magnitude of the positive swing. Now don’t forget that we also operate in lot of other currencies so all in all when we’re saying roughly neutral it could be that we have a slight positive but honestly at this point I wouldn’t put money on it. So I would leave that very much open…
Andrew Stott: Just to be clear I mean it’s a very clear segment on the slide so current FX in other words current spot rates so let’s get away from the debate about what currencies do next you are saying categorically roughly balanced all I am saying is it on your mass and your real terms I would have thought it’s positive. So is it that the rail and the yen exposure is bigger than I think that’s what I was talking?
Geraldine Matchett: I mean what it probably says is that the other currencies if you could them all together are starting to weigh a lot more and I think one of the risks here is that a lot of the mathematics that has been done in the past have been very focused on two currencies and now it’s not appropriate to do that.
Andrew Stott: Okay, that’s very helpful. Thanks, and on the D&A the question on nutrition D&A?
Feike Sijbesma: Are you referring on the quarter?
Andrew Stott: Yes, Q4, looks like it’s about 13 million higher than the run rate for the previous three quarters?
Geraldine Matchett: Okay, there is nothing that comes to mind I’ll have to look whether the restatement effects on 2013 but I have to say on this one I have no particular comment. But we will circle back should there be something that is worth flagging. 
Operator: Next question Mr. Andreas Heine from Barclays. Please go ahead sir.
Andreas Heine : Good morning. In the outlook you also said that you look for more efficiency measures in nutrition. Could you highlight them? And are they backed into the outlook so that you need these efficiency gains to come up with slightly higher earnings? And could you share with that what the book value is what you have left with caprolactam? And last but not least, you highlighted already a little bit that net working capital will be also on the agenda for 2015. Would it be possible to give a range for the nutrition net working capital and Group net working capital what you are targeting for? Thanks.
Feike Sijbesma: Okay, maybe on working capital and also I don’t know whether we can mention that but I do such for Geraldine. On the margins and the cost savings in nutrition let me for such parity reasons maybe take you through its a little bit taxable but I think it is important for all of us to take us through where we are exactly in Q4. In Q4 the growth in nutrition was in fact very good with 4% much more in animal health less of course in human health for the reasons I explained. The margin was below 18% and that is roughly 20 million, 10 million of that 10 million short fall as you call it was coming from order we see reduction we already talked about that during the whole year 2014 especially mid-2014 I mentioned we need to reduce this. Glad to see that we made the step forward in Q4. But it’s when that the expense was 10 million into the margins in Q4. The other 10 million was coming from the switch animal health human health little bit production problems as a few millions in food specialty and maybe few millions with very low single digit on vitamin E because vitamin E has hardly any impact in Q4 the main issues that are in Q3 -- 2015. So that costs the situation in Q4. Then once again for ’15 we get a big hit on vitamin E you know that operating was we have to make entrance further down the EBITDA as I mentioned and the switch between animal health and human health on a little bit currencies because Swiss frac is bigger for the DNP than the dollar. Nevertheless together we see improvements I expect 17-18% that does not take away that our ambition on the longer run remains to get the margin higher but does not take away that. And here comes to further improvements in the picture because we want to have even tighter cost management than we already do of course we will look for all measures to compensate in the whole switch situation those things are no easy and you don’t pick up manufacturing facilities and relocate them. But we look to all possible means secondly we look at all possible cost reductions in nutrition in 2015. It's too early to give any figures or data or numbers people or whatever but of course we will look to that. On top of that we said we look to cost reductions, of all functions across the company and we will here and there have some changes from January 1st onwards to give you just one example. We centralized all the HR functions, all HR people globally report into our top HR guy in order to streamline over regions, businesses, corporate all the HR costs. Now we're looking to other functions as well. So to give you some flavor of what we’re doing. For the rest you need to do it with the outlook at this moment which we gave. I hope that gives a little bit of flavor of what we're doing and I can only add to that that all these improvement programs do not only involve cost but also other opportunities in gross margin improvement, you have seen that we hold very firmly our market share in Vitamin-E in the fourth quarter. And that was noticed in the market, I mentioned on our capital markets day some people will see that Vitamin-E for them is not easy and I think some people have seen that in China. We remain very competitive in Switzerland even with today's strength with the Swiss bank we have a competitive position. We want to improve it further but we have it. And all of these actions on cost et cetera I tell you it consumes the whole day of Geraldine and myself, we're focusing fully on this one. Long answer but hopefully you get some flavor on what we’re doing.
Geraldine Matchett: Your question on working capital, you were saying can I get some quantification? Well we closed the year with about well just short of 2 billion in operating working capital from percentage of revenues it was a good position at 20.7%. All I can say is that overall we would like that ratio to come down and one area where we have the most potential is nutrition simply because of its current relatively high position. But we're not breaking down exactly where we'll come. So overall an improvement knowing that nutrition is the area where there is the most potential.
Operator: Next question Mr. Oliver Reiff from Deutsche Bank. Go ahead sir.
Oliver Reiff: Just one question from me on associates and whether you can give any guidance on where that's likely to land for the full year 2015.
Geraldine Matchett: So in associates we see a good progression as we mentioned already the capital markets day in London, DPx is very well and we're showing here the figures for their fourth quarter, so obviously there is a bit of a time delay. And there is no reason why this is not going to continue; in fact we're seeing a very healthy pace, both in terms of growing on top line but also improving the margin. So here definitely upside in terms of our other associates the big one that we flag here is DSP. The revenues are also progressing well and here in terms of profitability we should also see an improvement in 2015. So it's all heading in the right direction.
Feike Sijbesma: I am glad by the way asked because it's of course not so visible in our EBITDA but in total both enterprises are not a small stake our company had also in terms of value and -- it's moving in both areas pretty up north, so good.
Operator: Next question Mr. Neil Tyler from Redburn. Go ahead sir.
Neil Tyler: A couple of questions left, please. Firstly, back to the nutrition business and the vitamin pricing in animal that you achieved. You mentioned, Feike, that the impact on EBITDA of vitamin E was minimal. Was that the same case on revenues? And do you anticipate offsetting effects in pricing terms for 2015 against that vitamin E headwind? Second question, Geraldine, you've been through the budgeting process now. Can you perhaps -- I know you're not going to talk about numbers with regard to new efficiency measures, but can you tell us whether within the budget you have assumed that any additional efficiencies are achieved before the end of 2015? And the third question, on the caprolactam write-down, can you just explain to me the process that you went through to come to the decision to write down that asset given that trading has been pretty similar for quite some extended period of time?
Feike Sijbesma: On the vitamin E, the vitamin E price dropped during the year 2014, already also later end of 2013 if you remember. It dropped further the vitamin E prices in the fourth quarter. As we mentioned in Q3 and capital markets day but we have also a delay in how that works into our pricing as we go. So the additional drop in pricing of item in Q4 end of Q3 Q4 it not have any very little impact that additional drop into our Q4 figures. But it will have or has already an impact on our 2015 results. So some of our prices are linked of course to those global market prices. And we go with contracts which are delay but in beginning of 2015 so from January 01st locked in to the system. So we see of course compared to Q4 a price drop in vitamin E and our results from January 01st and that’s I don’t want to be cynical, but that's in the pocket, if you say that, that's for sure. Now if the prices remain on this between 5 and 550 or whatever then it has a its about 80 million for the whole year. Now if mid-year whatever the prices will recover then with a delay again it has a positive effect in Q4 or whatever but as speculation we don’t speculate on this for the time being we assume that the prices will remain for the full year this level. That’s the only thing I can say, and then it has this hit. Where it will indeed remain on that level, I don’t know as I mentioned in Q3, some of the Chinese manufacturers will not have an easy time at this price level and I feel see way that in the market being confirmed but they will do as that we will see we as indicated we will not give sort of in our volume growth in Q4. 
Geraldine Matchett: Now relating to the budgeting process, you ask that right, that we are not going to disclose any numbers, but it is a very relevant question whether we have included improvement programs in there and the answer is yes of course, we need these to be gain traction rapidly, it’s one of our key focus in improving operation performance and we can do just Feike and myself sitting here as the whole organization that delivers that kind of thing. So it is included, of course there is a timing issue, how quickly? So the effects come later in the year, but is in. And your second question on the caprolactam impairment, as you know, this is very much an accounting exercise it should not really come as a surprise to anyone that at some point this is going to happen given the deterioration in the margins out there. It is really just reflecting the outlook on the markets and the margins. Now from an account point of view you are not allowed to take into account any mitigating actions that you want to take to make your business more profitable. So that’s also something the flag is that it’s at the 31st of December you can only take market assumptions and not anticipate steps that you are going to do to fix that. So that’s why came in, in Q4 this year. 
Operator: Next question Mr. Mutlu Gundogan from ABN AMRO. Please go ahead sir. 
Mutlu Gundogan : Yes. Good morning, everyone. A couple of questions. To start with nutrition, Feedinfo was talking about structural changes in the vitamin E market. And you indicate that your margin will go lower. Obviously nutrition as a whole reported 17% -- 8% EBITDA margin in the fourth quarter. So that will go lower probably in 2015. Just wondering how you will get back to the 20% to 23% EBITDA margin? Second question is on the capro impairment. Can you confirm it relates only to your Chinese plants as you mentioned the non-controlling interest side of things? Third question, also nitty-gritty question, but there's no explanation. The exceptional items from associates, there was a 55 million loss for a deal that was closed a long time ago. So could you explain what's going on? And then the final, that's D&A. I always see that D&A is so much higher in the fourth quarter than it is in the first three quarters. So just wondering why that is. And then secondly, what your guidance for the whole company is for D&A in 2015.
Feike Sijbesma: Geraldine will take the last three and with all pleasure and I take the first one. You say and let’s to be clear and will provide as much clarity as I can. You say Feedinfo was talking about structural changes in vitamin E. Feedinfo and myself was already talking about structural changes in vitamin E due to the additional competition which we elaborated clearly about in Q3 and in the capital market space. So yes there is more competition in vitamin E and yes that decreased the prices in Q3 Q4 had hard DNA impact that additional price decline to earlier price ramp beginning of ’14 had effect but the additional decline no effect on Q4 results but will have substantially in 2015. That is a structural change, that already there nothing new today, but might be new in the year if some Chinese manufacturers can also this level, that’s speculation that don’t do, we will see what happens. You know clearly our strategy and so far in Q4 we totally delivered on that approach. Margin you are right we ended up between 17 and 18 in Q4. You are right that might further be on the pressure in 2015 if we get the full amplified M&A and we further although we see reductions et cetera still I guide you at the 17-18 for 2015 in indicating that we take some compensating measures as well. So, I think we should be in that area in 2015. So on top of that, I do not leaved my ambition level that we want to increase it further and I mentioned the further measure we can take during 2015 and over the year I'll update you on that where we are and with those actions I think you should have clear picture of what we're doing in nutrition. Does that help?
Mutlu Gundogan: Yes, to be honest, Feike, if you look at vitamin E, I think that it was mainly you and BASF and two smaller Chinese players, and now you have much more competition from China. And if you look at the profitability, the EBITDA contribution of vitamin E, that was so large in the last couple of years. And I'm not saying that vitamin E prices can't go a little bit higher. Just wondering if that not has structurally changed. And since it was such a big part of nutrition EBITDA, I wonder how you will get back to the 20% to 23%? 
Feike Sijbesma: Listen, I cannot change history, I've lot of my power but I cannot change history I mean it is a fact that there are more Chinese producers. It is BASF and ourselves it is two bigger Chinese producers and two smaller Chinese producers. That is the situation we updated all market on that in Q3 and that – it is what it is. I agree with you, it's a change compared with past and that happens from end of 2013-2014 and we update the market on that situation. I agree in the past Vitamin E had a much bigger contribution in our total profits, totally agreed but it happens when happens and we will dealing that and of course it will depress our margins and indeed we are below this 18% at this moment and maybe also in 2015 as I just said to you however, we will take some additional measures and we have also some good gross profits look to also our volume growth which is helping also on cost coverage and diluting our cost which is 7% volume growth in Q4 I would not go that bad. So, the best I can do is guide you at that just with '018 and for and for 2015 and say it does not reduce my appetite and ambition level. And that situation in that sense I think for the market hopefully nothing new compared with what I told in Q3 and at Capital Markets Day. Geraldine?
Geraldine Matchett: Relating to the caprolactam impairment I need to correct myself before was misleading that's not at all what I meant, what I meant is that the impairment is on the whole caprolactam business but the amount of the 186 million is the amount after tax and deduction of minority interest or it did the impact on our net profit and therefore on the EPS of course it's a non-cash item but it is really with the impairment that is one on the total business but it's not ring-fenced China or the minority stake that's not what I meant. Now in terms of the associates the exceptional negatives are actually linked to DPx now as you know the transactions have played this year is created in early part of the year, those will go in 2014 and therefore these will go away so that's not a concern and in terms of depreciation and amortization we're looking at broadly in line with the full year 2014 number so we're looking at about 550 million.
Mutlu Gundogan: Okay, thank you very much.
Operator: Next question Mr. James Knight from Exane BNP Paribas. Please go ahead sir.
James Knight : Morning. I'll break trend and ask a question, at least one question, on materials. Could you give us some indication of how it's started in 2015, whether you've seen any hesitancy on the buyers' side as they wait for prices to come down, raw materials? Secondly, on DPx, is it fair to say there the performance improvement has been faster than you expected under this aggressive management team? Is it possible that that might bring forward the next step that you had in mind to realize value from this asset? And then thirdly, I think Andreas asked what the book value of capro is today. I'm not sure if it was answered. I certainly didn't hear it. So could you just please help me on that one? Thank you.
Feike Sijbesma: Okay, I'll take the first two and I don't know whether Geraldine can say about the third one. 2015 stock it's too early I gone passed official figures of January even obviously Geraldine and myself are monitoring the sales almost on a weekly basis and I think 2015 started in line with the guidance we give here. So, in that sense it's not any worry or additional upside it starts in line with what we guided at this moment and but it is too early because once again I don't have the official generated figures even at this moment. DPx I cannot say that the success went slower than expected so I agree with you that on the statement I think the combination turned out to be very successful in cost reductions to be honest if we look to the profit increase, it comes also come from the market we’re very big player in the market and you will see that the combination we make absolute sense. And JLL, the private equity part, on the other side, was in there most likely want to make the money, most likely in there for making the money and we have the team of size 49% to 51% share distribution and officially we see chances to monetize with monetize earlier, we will do that and mostly likely we would look to a maximization of the monetization and whether that can be done early or later, we need to see, but I total agree so far it looks very good and very promising.
Geraldine Matchett: And on the capro and we do not disclose the asset base of the different cash generating unit, so that’s probably why you didn’t hear the answer.
Operator: Next question Mr. Martin Roediger from Kepler Cheuvreux. Please go ahead.
Martin Roediger: Yes. Thanks for taking my three questions. First on your outlook which is based on the current portfolio, as you intend to dispose the three activities, caprolactam, acrylonitrile and composite resins, on a pro forma basis, so excluding these three activities, would you also consider your target of a slight EBITDA increase to be valid for 2015? Second is on food specialties. You mentioned the impact was a few million euros on EBITDA. What went wrong in the manufacturing here? Can you -- and can that reoccur in Q1 or in any other quarter? And the third question is on your pension plans. You certainly contribute cash to your pension plans every year. How is this fresh money right now invested, so this year, for example and are there any bonds running out being matured and them the cash has to be reinvested?
Feike Sijbesma: I am not sure I know all the answers. The outlook you want now a split between the difference businesses and it’s hard to gift and I don’t want to give you an outlook split about the business we want to put in a different context to teach action divestment or whatever that will also not help the process there if I give more specific data on that. So I hope you understand that. On food specialties it has to do with certain of our operation which had some performance issues in food specialties, so we know we are in cultures and enzymes and some of the other products. Some of the operations had some issues in production in first quarter and that recur in 2015, yes, it could be, but I would be disappointed and the task first for the management of food specialties is that it will not return this year and that is what we expect and work on. On the pension plan if you help me on that, Geraldine.
Geraldine Matchett: I am not sure entirely understood your question, but we have a number of different pension plans including the fund contribution that will also some define benefit. Now in terms of where the money goes in, in terms of asset category as you know there is a lot of legislation around that in each of the country. Now the mix is not significantly different that it has been in the past and you can see in the annual report note on the pension, so we generally have a mix of about 55% fixed income, 35 equity and the rest being either property or cash or other assets. So in many ways this will not change, it’s entirely regulated but I am not sure that what you were trying to get it with your question.
Martin Roediger: My focus was more on, for example, currently you see yields of bonds at a very, very low level, partly loss-making. So if you continue to invest, for example, in bonds with that cash, then of course you make losses on your pension plans. This is basically the background of my question.
Geraldine Matchett: Yes, you’re right this will be a challenge for all pension plans in the world with negative interest rate it raises a lot of questions. Luckily for us in many ways in terms of the mix of the fund contribution versus the fund benefit a lot of the group has shifted to the different contribution schemes, which makes it less risky for us as a corporate. But your point is actually value and is actually a major concern but form a much broader perspective across the country.
Feike Sijbesma: I think first instance this is a pension fund topic because the biggest pension fund we talk about is the Dutch pension fund and there we have defined contribution system. So that pension fund is running -- it’s on shop so to say and so to say independent from the Company, so this is basically more a question towards the management of the pension fund than to us.
Operator: Next question Rakesh Patel from Goldman Sachs. Please go ahead sir.
Rakesh Patel: Just a couple of questions left for me. I wonder if you could touch back on working capital. I think in the past you've said you wanted to try and get nutrition working capital to around 30% of sales. I was just wondering if you now still see that as the target or actually that could potentially move lower given your comments. Secondly, just on vitamin E prices, you talked about the Chinese market seemingly ripe for change, if you like. Have you actually seen any Chinese players looking to exit the market or have you heard chatter that they would and you're now seeing them move away? And then finally, US dietary supplements. I'm just trying to understand what the moving parts here are. We've seen some of the data that comes out from Nielsen and we see something of a little bit of an uptick both in Q4 and January. So I was just wondering why you don't see that, or rather are we actually looking at something quite different? Thanks very much.
Feike Sijbesma: Geraldine can maybe say something of OWC I will take the other two. Vitamin E we have seen like Mutlu was asking also the change of market dynamic in 2014. We support Chinese player to big ones to small ones and be stepping ourselves and they change to market dynamics. At this low price I expect that some of the Chinese producer do not like that at all and lost their competiveness. And we even we're strengthening of the Swiss Franc are still pretty competitive and still make a group margin of Vitamin E less than before 2015 clearly less than before but still it's a group profitable product for us. And I don’t see any changes yet that Chinese step out to do something else so I don’t see that. I know that for some of it of course it's type with this bright in 2015. When will happen I'm not going to speculate on that we will see that in 2015. Dietary supplements share point I see the same at the data end of 2014 now the new data coming in beginning of 250 that I don’t see any further decline at this moment. You're right no Feike you see even the small update yes you’re right I formulated as no decline but I should mentioned that I see a small update I see the same I'm very, very careful about those single point data. So I don’t want to guide you that, hey guys seeing an update et cetera I'm careful on those data single point and therefore formulated a little bit in on the statement maybe, hey guys I don’t see a decline here. That is for multivitamin for almost three. I didn’t see the update is even though little bit lower so it's mix bag over it. But I agree with you the signs their on the multivitamin at this moment on negative but I'm extremely careful there if you allow me.
Geraldine Matchett: And on the working capital thank you for coming back on that so less at overall we close the year 20.7% of revenue and that’s the area for improvement would be efficient. Now within that 20.7 nutrition close the year more around 34% so that is a journey to make the to 30% within the midterm I believe should be double. But it will not be entirely in 2015 it's going to take a bit longer than that. 
Feike Sijbesma: Okay taking time into consideration we have still time for one last question.
Operator: Next in line; Jaideep Pandya from Berenberg Bank. Please go ahead sir.
Jaideep Pandya : Thank you. I just -- sorry, just to come back, I just want to understand your strategy in vitamin E. So as of Q4, was vitamin E profitability in qualitative terms at divisional margin levels or was it not? And do you have enough operating leverage that you are pursuing this volume strategy? So, i.e., you're saying that you're still very competitive, and if prices stay around the EUR5, EUR5.5 mark, then your operating leverage offsets the pricing headwind and you remain competitive versus your Chinese competitors. Am I thinking this correct or am I missing something here? Thank you.
Feike Sijbesma: Let me be clear I'm not going to give you the operating margin of Vitamin E by the way the market will be very interested into see whether the margins result at this price level and we're not going to say that. Although we do say at this level around 550 we have a profitable product on our side. And I'm not going to give the margins I agree it is much less profitable product than before if I take 2015 in total we will make 18 less profits so that is substantial. But even after that it will be profitable can be composite part of that in cost cutting and all those stuff I mentioned already we will work on that in the course of this year. And we are ready to start on that and I'm not going to indicate where and what exactly and what does that mean for the margin of vitamin E. Our strategy is very clear that we do not give in any market share in favor of market prices or whatever. We are strong player on this market, we are fully integrated and also to watch our premix operations which are doing very well, also in Q4. And we continue with that strategy and that is our strategy and then we will see how the markets customers and competitors will react on that. 
Jaideep Pandya: May be just one short follow-up. Are you currently at very high utilization in vitamin E? Do you have enough spare capacity if volumes grow similar to what you've seen in Q4?
Geraldine Matchett: Normally I would answer that question, but in terms of their market dynamics it’s a very relevant question. And I would give you a little bit of fake answer here for pretty obvious reasons. But we have all means to meet the growth of the market.